Ana Cabral Gardner: On the first page, I'm citing the disclaimer. We're going to make a number of forward-looking statements here. So I encourage you all to read the disclaimer regarding the forward-looking statements. Sigma became the first global producer of zero carbon, zero tailings, zero chemicals, green lithium. In other words, we're enabling a transformation in the electric vehicles industry. And that's the excitement of what I'm going to share with you.
 Ultimately, we achieved the golden crown of sustainability by basically focusing on the impact on land that tailings dams would have, focusing on mitigating the impact on air by lowering our GHG carbon footprint, and on water by not using chemicals in our hazardous -- not using hazardous chemicals in our production plant.
 Here's an aerial shot of our plant. You can see the dense media separator and the tailings third module to your right next to the thickener, which is the first of its kind to dry-stack ultra-fine tailings to 12%.
 Here is another aerial view of our plant. And you can see it from the view of the ROM pad where we feed the first module, the crusher, with this spodumene ore to be transformed into a battery-grade Triple Zero Lithium concentrate.
 Here is the deliveries and on every front, we have successfully ramped up. And more importantly, we are on our way to expand this plant to triple production capacity. So there are 5 aspects of the call today, and I'm going to try to cover them to some level of depth here.
 The first, we're confirming guidance, reaffirming guidance of 130,000 tonnes of concentrate for ERM. So by December '23, we're going to reach this target. The ramp-up has been a success. We have successfully managed the dry-stacking module, which was the last module to be fully commissioned to full capacity. We're on our way to get there. So it's now an incredible success of innovation in sustainability and in plant technology, lithium processing technology.
 We also have conducted our inaugural shipment of the Triple Zero Green Lithium and by-products at the end of last month. We're now going to be doing them at a cadence. I'll be talking to you more about that. We're also in midst of advanced detailing engineering, producing CapEx to FEL3 level for the expansion of our production. And at that, we're also expanding our mineral resource with tapping into Phases 5 and 5, testing a few teasers of adjournment of Pegmatites so that we will be able to perhaps ramp-up our potential production even further with a potential forward line.
 More importantly for all of us here, we have been successfully implementing at a very steady pace all of our landmark social development initiatives, which feels as a pride and delivers on the promise of lifting the community as we achieve our milestones.
 So I will go through each one of these points and cover then the financial aspects of where we are in our operation. So here is a picture of our -- this is our picture of our industrial blind audience -- nothing better than a video to show you the night of this month. Essentially, you just saw the dense media separation module, which is called Module 2. To the right, you saw the Crusher, which is Module 1, which was the first module to be commissioned.
 Here is, we're going to talk a bit about that plant. So the ramp-up has been a success. We're reiterating guidance. So we're going to be producing 130,000 tonnes of this beautiful material that's to your right here. It's very high purity. We've been able to achieve the incredible success of concentrating even to higher levels than 6%. So, 95% of throughput capacity was reached in August. In other words, the plant is being unleashed in all its power to produce what we call, to reach what we call main plate utilization.
 It's important to remember that the main plate utilization is 85%, and we shouldn't confuse utilization with capacity. Utilization is the number of hours the plant stays on, is a 200 tonne an hour plant. So through utilization, we are able to calculate production.
 Now the design capacity -- in its current design, this plant is supposed to produce 270,000 tonnes of material. And in August, we were actually able to get to that level. So we got it. I mean, the plant is there. And it's from now on basically calibration and fine tuning. Hence, we're so confident to deliver the guidance for the year. Another very important point on plant ramp-up has been reaching the main plate recoveries, which has allowed us to produce the beautiful material on your right.
 In other words, we have been now recovering to 65%. And we have been sustaining that around several consecutive days, given that we have overcome our cautious and safe ramp-up of the dry-stacking module. So we're now consistently producing very high quality, and we could produce 6% lithium oxide triple zero.
 So we're adjusting it between 5.5% to 6%, because of the commercial specs prevailing in the market given that most producers are just at 5%, but it's a testament to the quality of the ore, quality of the material, the ability of the dense media technology to actually beautifully, beautifully separate purify and concentrate our material. So it's all working as expected.
 But more importantly, we have actually advanced into innovation territory by doing something that's unique and pioneer in our industry, which is to fully dry-stack our tailings.
 We have then on that same tone, achieved daily production records of approximately 150 tonnes. So if you multiply that by 24, 30 days, you can adjust to see the full capacity of this plant. So we are very, very confident that we're going to be probably reaching nameplate capacity in the fourth quarter as expected. And I think the most important thing on the dry-stacking, we were calibrating the moisture. So the point in dry-stacking isn't just to dry-stack, it's to dry-stack with a level of moisture that allows the dry-stacking piles to stay intact and therefore consistent for storage.
 So to your right, I am going to show the circuits, right? So this is the end of the circuits for the main product. So here we have this, you can see a picture of a thousand words, this beautiful light green lithium concentrate is granular. So the granularity is getting to about 6.5% on average. So essentially, it's beautiful, it's beautiful granular lithium concentrate.
 The next page, again, videos and pictures are a thousand words. So, we're going to show you the 2 portions of the dry-stacking, the 2 key portions of dry-stacking. The first is the portion of the industrial circuit that dry-stacks the ultra-fines. So here it is. And you can see the cake. And then it goes through the belt all the way to the pile. And you see that the pile integrity at the very edge of it, which demonstrates the low moisture. So at the very edge of it, you can clearly see the top of the ultra-fine tailings pile and the integrity of it, which is just a visual demonstration of the low moisture and the success of the ramp-up of this circuit, right?
 Here are the rest of the tailings. So you can see the 2 kinds of tailings. That's an important point, because as we talk Zero Tailings, it isn't that we don't produce tailings, we do, but because we innovated that and took a risk to build a dry-stacking circuit for ultra-fine and the coarse grade road we are able to get rid of it. So the by-products are utilized, the left byproduct, coarse grade road, staining roads, staining rural roads for our community. And the product on the right is actually valuable. We've been able to sell it for about $350 to $400 FOB, which covers a significant portion of our cash costs, and almost all in sustaining costs. So it is fantastic that we've been rewarded by being a pioneer in dry-stacking these tailings financially. So this is the financial reward of doing what we've done.
 So, on this page it's again, more of the operational success we've achieved this quarter. So we made our inaugural shipment in July. So we shipped 15,000 tonnes of the Triple Zero Green Lithium and 16,500 tonnes of the Triple Zero Green Lithium. So now we have the cadence, we have monthly shipments planned. Again, just recapping why Triple Zero, the plant does not use chemicals. We are using very successfully dense media separation instead of chemical flotation. We've got Zero Tailings because as I said, we actually are getting rid of these byproducts. So we're monetizing these green byproducts.
 We are now following this incredible success in mitigating the aspect of a tailing dam on land. I mean, remember, not much has been talked about tailing dams in the lithium industry, but it's just as hazardous as tailing dams in, I don't know, that's basically, it's a dam full of chemicals that over time is perpetual. So 100 years from now, these chemicals they are trapped in that tailing dam will go somewhere. And where is that? In the water basins of the surrounding areas. So, it's a similar effect on biodiversity and ecosystems that the tailing dams have in our floor.
 As we mitigated that and got rid of the byproducts, we were able to zero the carbon. So we were able to offset the remaining carbon in the operation, which was very small. It was 0.26 tonnes of carbon per tonne of lithium, which is a fraction of the industry. So in any part of a source, both in salars, brine, and in hard rock, we were a very small fraction of the industry already, in great part because of this plant.
 So we were able to purchase carbon credits to just offset and go to zero because zero is a number that's very easily understood, better than low, green, zero, zero is zero. The result of the quality of the material and all of these attributes, we have been enjoying phenomenal commercial success. I mean, we've been building a stellar book of customers, customers that basically are far-reaching downstream, automakers, battery makers, the lot. So we have a very strong and stellar book of customers because it's a combination of the environmental sustainability and basically unquestionable credentials of the product, but with the premium pricing, with the premiumization of the product because of the superiority of the product on technical merits alone.
 In other words, the product is granular, average grain size 6.5 millimeters. It's going up to 9 millimeters. So it's granular course, which increases productivity to downstream, to our clients. There's significant levels of purity here, it's very high purity, very low potassium, very low sodium, alkalines, potassium and sodium together are well below 1%. So potassium below 0.5%, sodium around 0.5% and there's iron oxide where we're sitting well below 1% again, 0.7%, 0.77%, 0.8%. So very high purity from the standpoint of these 2 key impurities, which lower productivity downstream. So the premium pricing of 9% means the following.
 We are grabbing 9% top line value from refining, which is an incredible achievement. In other words, refining is a business that relies on our product to deliver their product and we are grabbing top line a 9% value. That's what premium pricing means. The index is an average of Korea, Japan and China lithium hydroxide pricing, but nevertheless, we are price setters at this point because of these characteristics, high purity, high quality course, granularity, and the free attribute, which is the most sustainable product in the industry.
 Here is again, pictures a thousand words. We showed you how these tailings are made, how beautifully that circuit, the dry-stacking circuit is working. And here you can see the product from up close. Even the tailings are grainy, they're not milk, they're not talc, they're not micronized, they're not micron level. So even the tailings are incredibly, incredibly efficient in the flotation where they are utilized to become more lithium concentrate by our clients of these by-products.
 The green lithium is beautiful, it's on your left and to the right, the use of these tailings that we've been discussing here. I'm going to talk a bit more about Phase 1 and the main milestones and where we're trying to get with the product. So you can clearly see how we've been delivering on every promise, delivering on everything we said we would. So we commissioned the crushing on time, we commissioned the DMS on time, we started production on time, we're ramping up to nameplate capacity well on time, even though we did something no one else has done, which was dry-stacking tailings, which was a source of basically conservatism here. We had to commission slowly, we had to ramp-up slowly because we needed to test that circuit to see if it worked, and it works. But it was an exercise of conservatism and patience, especially throughout the months of June and July as we got to that circuit.
 So we went to circuit 1, which is here, which is the crusher, then circuit 2, which is the dense media separator, which works beautifully, but the dense media separator is connected to circuit 3, which happens after the thickener, which is this dry-stacking circuit. So these 2 circuits, they are symbiotically connected. So the performance of one circuit was connected to the performance of another, what we call the wet circuit. So we wouldn't be able to see the dense media separation plant in all its might, if we hadn't successfully commissioned the dry-stacking circuit, because we made that environmental choice from the get-go.
 So here it is, right, so we got there, and roof is in the putting, we're reaching shipment cadence. We're going to go to a second shipment, third shipment with a monthly cadence, so we're on track to hit our guidance numbers.
 Here is us sharing everything, so transparency as always. So you can see, we've been tracking data as we got into the dry-stacking circuit commissioning, so that you can see the importance of understanding how these 2 circuits were connected. The main plant and the dry-stacking were working together.
 Here's the beauty of this. We were achieving operational consistency and successful plant recoveries, period, right? So even in a period where the dry-stacking was being slowly ramped up, apart from its full capacity, the DMS, the main plant, was working fantastically. In other words, what you can see here is us hitting 6% lithium oxide very consistently for almost 2 months. We're now in the beginning of August, so if you can see here, like the 13th of June to 12th of August, 2 months of data, and you can see the consistency.
 To the right, you see the head grade, so blue head grade, orange concentrate, so beautiful consistency on getting the product right. So again, dense media separation was a go. Now how does the magic work together? How do the processes work together? Because they are like Siamese twins, and that's the right word. We can't dissociate. Why can't we dissociate? Well, the thickener is basically mud. We don't have a tailings dam. If the dry-stacking circuit wasn't working, we wouldn't have a place to put the mud. So we would have to commission the dry-stacking circuit slowly so that we could actually have the DMS unleash its power, its full capacity towards that dry-stacking circuit.
 And it was a combination of a number of fronts, filters, membranes, filtration, adjusting the thickener, and we got this. And here it is, data, and you can clearly see how we've been now, right there. So we've been getting to, so in the period where that plant was ramping up, we were recovering at a lower level because the whole plant wasn't fully at capacity. So as we got to the capacity, you can clearly see how we just shot up dry-stacking works, so as we increased capacity, the entire circuit started to work beautifully. So that's here, recovery and yield, and that gave us the confidence to basically, you know, just smooth sailing from now. And it's an enormous source of pride.
 On the mine, also, same thing. We've been executing according to plan. I mean, again, the mine feeds the industry, so it's a fully integrated operation. So we've been reaching consistently the mining cost in the technical report, so no news there. And then as we have gotten this under our belt, we will talk about expansion. So we've been tinkering with a few ideas around expansion as demand for this material is just skyrocketing because of its sustainability, because of its quality, because of electric vehicles ramp up in demand.
 And again, we are the lowest cost producers, so price is a secondary consideration for us to the extent that we are going to generate robust cash flows irrespectively of pricing environment. So for us, it's always a matter of how quickly can we get more, more, more material to the market, right? So we have, as you know, a significant reserve base. We have 86 million tonnes of resource and we have about 54 million tonnes of reserve, which means we can actually increase production throughput, production yield by putting in more production lines.
 And then we will work on our 9 former mines to build up longevity of the project. So again, this company, the resources are so vast that it's a matter of being able to or deciding to build this line train and what's the throughput capacity we believe we can actually place in the industry. So right now, we've just done Phase 1. So we're going to reach 270 annualized within a year's time. So essentially, on an annualized base, we got this. So we understand this circuit. We understand this media separation circuit and how it behaves for our mineralogy, our material. We're about to build 2 more lines and that will triple our capacity. And then we are tinkering with a fourth line. So perhaps we will build 3 more lines by 2025, 2026. We are going to build via higher capacity. So that's the exercise we're doing here as far as Phases 4 and 5.
 Here, you can see the modification of a slide we've been showing you for quite some time. The FEL3 detail engineering is ongoing. We're fully funded. We got a shareholder loan and now we're in full cash flow generation mode. Company's costs, as you can see, are being significantly covered with the sale of byproducts. So this has become an incredibly asset creative exercise, producing and selling main product byproducts. And therefore, you can see the analysis that's being conducted in the context of detail engineering about more line trains, perhaps 3 more line trains. Where can you put that in light of the elevation of the terrain? You can see the ROM pad here. So that's the elevated portion.
 So we can build them in perpendicular to the current circuit. Most likely, that will be the case because we have a bigger area there with the right elevation, the ROM pad. So these are the conversations and analysis that are taking place right now. They're being led by our Chief Operating Officer, which, as you can see, has been incredibly busy.
 So here is the view of it, right? So this is the other aspect of what Brian Talbot is looking into, meaning how do we think about elevation area that we can actually throw in 3 line trains and then pass a third more once we build those 2 or build them 2 now and then a third immediately thereafter. And again, the demand for the product has proven to be fully supportive of us putting in that throughput.
 Again, Triple Zero, ultra-high quality. The pairing of these 2 characteristics in the market is unique. We're the only ones that have that, basically. So this is a visual, and you can see here where my arrow is. I'm not sure if you can see that. This is pasture. So this is also what our environmental team loves to see.
 In other words, we'll jump over this area here because it's got vegetation. We don't like to cut vegetation unless it's on the pit. We typically don't do it. So we will go straight into what we call an anthropophytes vegetation area where there's no trees to cut. So pasture areas, and we will build our 3 line trains there. In the very back, you can see this was already a patio for truck maintenance for the mine. So it's actually an area that already has industrial capabilities. We had our gas station there. We had our industrial set up there. So this is an area that's being considered for expansion. So we probably do perpendicular.
 And here is a bit more of that timetable. So I think what matters here is we're doing all these trade-offs now, right? So 2 lines, 3 lines. How do we go about this construction? We've been deploying cash. We've been deploying costs for this construction, detail engineering, and others. So it's FEL3 detail engineering full bloom. That's costly. So we're able to cover that with a shareholder loan we received. And we're able to cover that with our own cash flow generation. So we're about to continue to generate a significant amount of cash going forward. So the plan here is to expect it here. We're ordering loan lead items in the fourth quarter.
 Once we get our arms around 2 plants, 3 plants. This is an 8-month build. So it's actually quite fast now that we're pretty done with all the infrastructure, including the substation. So it's going to be a different build in Phase 1, where we have to prepare the site and prepare everything. Just literally going to deploy 3 line trains. That's the plan here.
 Essentially, we're expecting to initiate production and delivery. We're expected to initiate the commissioning of this plant in September of next year. And we're expected to start receiving equipment at the beginning of the summer, June, July. So it's all sort of going according to plan.
 Here is further growth, further additional growth, more, more, more. As you can see, just to recap, we got 9 former lithium mines. This is one of the richest lithium properties in the Jequitinhonha Valley, the Lithium Valley in Brazil. We started with Grota do Cirilo, which names our studies, because it was where there were more former mines, more large pegmatite formations.
 As you can see, Jequitinhonha, which is phase 1, is to the north. At the bottom, we have Phase 2. It's all interconnected. So when you can see, there's a string of ore bodies and pegmatites that are not linked necessarily to each other, but they are adjoining or they are adjacent, like they're just very close by to each other.
 So here we have Phase 3 -- sorry, here we have Phase 3 and then we have another ore body between Phase 3 and what we call Phase 5, which is called Camboriu. And then we have Lavra, which is in our current mineral resource and is being drilled to the level of its potential now. And then we have Murial, which is being drilled. So, all of this adjoining. So we are basically planning to publicize that when we actually finalize our thoughts around a fourth line train. So, this will be the -- and again, the fourth line train is irrespective of Phase 4. It's very important to say that. The fourth line train is how we're going to contribute to deliver the lithium that will actually support this very rapid pace of growth of electric vehicle demand in the Western markets as a result of this incentive plan.
 So now, in addition to China, which was the only market, now we have Europe going full speed. And then the U.S. emerged as the fastest growing EV market as a result of President Biden's green plan. So now we have 3 markets to support as an industry. And here's our contribution. We're going to put a fourth line train to actually deliver more material in the market.
 And again, we'll see it later. For us, the lithium prices are a secondary consideration to demand, right? In terms of making decisions around construction and throughput because we're the lowest cost producer. So we don't depend on high prices to do anything here.
 Lastly, I think I'll go in. One of the key sources of pride for this company, in addition to the technical prowess of our incredible, incredible technical team, I mean, we're delivering on every front, on every promise in terms of lifting this community with us. So we are enjoying, shareholders, all of us are enjoying the prosperity of the lithium, but the communities are enjoying that with us.
 So we're renovating the schools. The cost per school, we did this as a test pilot school. It's $70,000 per school. We're probably going to be doing 10 of those schools next year. It's a whole new ballgame for that school. This used to be a rural school with 2 classrooms where children from 3 to 10 cramp up in 2 classrooms. It was a source of shame for all of us Brazilians to have next door schools like that where kids had their learning capabilities significantly hindered by the facilities.
 So what we're doing is building them upper facilities with libraries, with classrooms, with more classrooms. We're putting a bridge to improve accessibility of the rural communities around it to get to the school, to get to the asphalt. So we're planning to make this a model school, a pilot, with not just the installation and the facility, but also a robust afterschool program. Because a lot of the parents on that community, which is the community that sits right in the middle of our areas, work at Sigma. The women work at Sigma, lots of women working at Sigma. So we're putting an afterschool program as well.
 So again, it's a pilot program from an academic standpoint. It's a pilot program from an installation standpoint in terms of doing fast, building fast, building cheap, which is the same mindset we have for everything we do. So we're probably going to be doing 10 of those, which is, again, a first in terms of speed and comprehension of the program, right?
 So financial numbers, where are we? Well, we're well on our way. We're joining the ranks of the super majors. As you can see, we have the mineral resort and the ore bodies to support it. Now, we can say we have an amazing sustainable plan to support it. We're the only company doing Triple Zero lithium, Zero Carbon, Zero Chemicals, and Zero Tailings.
 So we believe that now, again, we have the right circuit to grow, which means we're going to grow without leaving a legacy of harming the environment. That's how the clients downstream, automakers, battery makers, sort of gave us this enormous competitive advantage as far as this material is concerned, because it's a sustainable way to grow and to cater to this industry, which is building the green cars.
 So it's green lithium for green cars. We're planning to put our 2 more line trains. So we're getting to the full 37,000 tonnes LCE annualized capacity, which is the 270,000 tonne of lithium concentrate. And then we're going to get with 2 more line trains to we expect to get to 100,000 tonnes of LCE, which is approximately 760,000 tonnes of concentrates. And then we are tinkering with the idea of a fourth line train, again, to be supported by our 53 million tonne of reserve because of the current moment in time of the industry.
 Payback for a line train here is in months. So 2 months, 2.5 months, depending on the price of the material. So very short, very efficient. So why not? And then you can see also that, there's a disconnect. I mean, as we are able to establish this cadence, we are hoping to be rewarded by all of you with the producer recognition, given that we're just coming out of ramp-up and we're going to start shipping this with a cadence and we're moving into the producer universe where we are set to enjoy producer valuations, right?
 Here is why prices matter very little for Sigma, because we are one of the lowest cost producers in the world. And more importantly, as we sell our by-products, our cost becomes tiny. A significant portion of our cash cost is actually covered by the sale of by-products. I mean, we're achieving $350 to $400 a tonne for this material. And just as a refresh, our cash cost is $290 as per feasibility and the all-in sustaining cost is $530 as per feasibility.
 Obviously, the numbers during ramp-up will be different. We'll show that in next quarter. But essentially, that is not the focus. The focus is what happens to demand because we can deliver this low cost, high quality, triple green lithium in any market, in any point of the cycle. And we have this built-in competitive advantage of sustainability. We're just putting scenarios with different prices where you can throw in the prices. So we did per unit, and we did full in using the 3 combined phases. This is just an illustration.
 The chart on the right is the most important, which shows in the red the forecasted prices. And if you go all the way down, even at $2,000 a tonne of material, you see the difference between that and the dotted line. This is our cash flow. So we're enjoying robust cash flows, no matter what, basically. And that's the beauty of being the low cost producers.
 In keeping the process in dense media separation was a key element to that. Our processing costs are our greatest competitive advantage. Mining costs are kind of similar, but processing costs are the difference. Our processing costs are significantly lower than our peers. Just to illustrate, on electricity alone, we pay $0.02 of a dollar per kilowatt hour of green renewable power. So that alone is a fraction of renewable power or any power, dirty power, clean power, anywhere in the world.
 And here is an important point. I mean, there's a disconnect. We are now earning credibility into building, closing the gap towards closing the disconnect. So as you can see, as we get to 270,000 tonnes, we're going to reach the 37, which is the colored yellow ball. And we're moving steadily as we're building Phases 2 and 3 into the expansion. And then perhaps Phase 4, we're going to hit 104,000 tonnes of LCE, which is, again, in line with our 3 peers. So it's pretty clear where we're going as we move through our construction.
 But what's most important here is that, we have a very innovative circuit that we've been calibrating, adjusting, perfecting as far as the innovation, which is the dry-stacking. And even during the dense media separation process, our Chief Operating Officer, Brian, has been perfecting a number of aspects on that circuit. So now we have a tailor-made sustainable circuit that's just essentially a replicable unit for our mineralogy. Again, every mineralogy is different. Our mineralogy, of course, crystals is it, right? Because it's the combination of the quality of the material, of what we have, the large crystal mineralization, which lends itself to this dense media separation process extremely well, and the perfectioning of the circuit, which is dry-stacking even ultra-fines, right?
 Here is more numbers, the busy page, but I just want to leave you with the main message, which is the Phase 4 fourth-line train, which was initially planned to the back, we're now probably putting it at the front, because it is at the front of the life of the project where we have the biggest pressure from our clients on demand. We're living through full ramp-up of EV demand by consumers, and not all of the projects that were promised to come on stream have come on stream.
 So the producers, and that Sigma included, the producers are doing everything they can to basically cater to this industry, given that the commissioning and the ramping up of the new projects is slower than everyone thinks, it's delayed. So we are basically trying to fill that gap with as much material as you can possibly can, sustainable material at that.
 And as you can see, using the price assumptions that we had in the study originally, which we will adjust, the payback was 1 month. So, I mean, really, right? So now what we're basically going to do, we're going to adjust the prices, but what you will do, well, if price is cutting half, so we're talking $2,000, payback would be like 2 months. So it's a decision that's irrespective of pricing. That's what we're trying to show you here.
 As a low-cost producer, a sailor of by-products, I mean, for us, putting more material in the market is just a matter of, is there a demand out there for this material? And the answer is a resounding yes, right?
 And so here is the closing. I mean, we deliver it on every, every front. There's a degree of consistency here and focus that's really unmatched. I mean, we run this business like a technology company. It's very taxing on all of us executives. I mean, we feel the pressure, we feel the daily pressure, but it's just a consistent delivery of milestone. I mean, this being an industrial operation, you can only imagine how taxing it is on people.
 So that's why we're constantly building up our human capital ranks. We're constantly building our teams. We're bringing in more and more incredible people, like the 2  gentlemen that just are now leading together the financial officers, Raphael and Caio. Raphael came from a long lineage of, you know, tradition of companies operating in Brazil, listing in the United States, including CSN, which is a known steel maker here. It's been listed in the US for almost 25 years. Then Raphael comes from Cargill, who's going to lead the controls areas, his Chief Control Officer, leading SOX implementation, improving internal controls. So Cargill is a North American company, SOX commodities, commodities businesses. So again, top team.
 And again, we deliver on every front. Lastly, you know, first shipment, zero carbon, dry-stacking, zero tailings, got rid of the tailings, selling by-products. I mean, the lot, right? So what's next? Well, complete ramping up this plant. So when we get to name plate capacity, we're hitting, now we're going into 10 days of that, but we're going to probably hit that on the third quarter consistently and then steadily. And second shipment, third shipment, fourth shipment, and then we're done. And then it's on to Phases 2 and Phases 3.
 So here is Q&A. I'll stop sharing and we go straight to Q&A. 
Ana Cabral Gardner: So another question. So can we talk about the decision to use trucks versus heavier mining equipment for pit work and hauling ore? Did we assume higher maintenance downtime or OPEC? Is it worth the ESG specifications if you don't get compensated for that with the product price?
 Well, look, the cost of mining here is negligible compared to the overall cost. I mean, as you can see, it's $2 a tonne to mine this. And you saw the slides. So it's an important point here. We're talking about negligible cost elements. Negligible, $2 a tonne. The product is $3,500 a tonne final. Even with the bear market projections, it's a $2,000 a tonne product. So it's important to understand that mining is a feedstock to the industrial operation.
 And where do we really manage cost in the industrial operation? So our processing costs are the key. By choosing this meter separation, we put ourselves way out there, way ahead in terms of advancing, in terms of advancing, just keeping those costs low. Because dense meter separation is a relatively simpler process than flotation and therefore, inherently, intrinsically, it has lower costs. So as a result, when you compare mining with plant, I mean, the decision to add trucks was a social decision.
 And you can see how bad the social license of the industry in Brazil is and how much resistance, even stigma encountered this perfect company, environmentally and socially, as it initiated operations. What was the resistance? We never had the benefit of the doubt. Here it is in Brazil. You start a mining operation, you presume guilty. And we proved everyone wrong within 2 months of operation, but it was tough going.
 So, what we had going for us? The significant number of members of the community that were employed by this company. Also, well, fewer trucks, more people and easier to redeploy -- drivers that were driving trucks in other applications towards driving off-pit trucks. This is key to understanding our unique, incredible social license with this community, with the Lithium Valley region, with the country, with federal, with state. I mean, we become an engine of positive change. It's a force for good. And that is connected to this decision.
 So answering your questions, it is well worth it. It's well worth it. And I'm just talking about the social. Now, I'm going to get to the environmental. Biofuels, the smaller trucks are made for biofuels use. So we are 15%. We could easily get to 50%. We zero the carbon anyway now so that this is done. But the main consideration here was social. Because instead of using 100-tonne trucks, we're using 40-tonne trucks, we're employing 2.5 more people, number one. And that means the members of the community around us are employed. The mine is the largest employer. 95% of the personnel in the mine is from the towns. Born, bred, raised from there. 95%. These are astounding numbers.
 How did we do this? We brought these people back. We brought the community back. We trained them. We were able to quickly redeploy their skill set towards driving trucks on pits. So basically, somebody wants to see the head grade, concentrate grade, mining cost, progressions, lines again. We'll put this on the website. So essentially, what we've done, as you can see, let me just go back to this, if I can do that. But just let me see, if I can keep on sharing this. Okay, here we go. Just to the question.
 Here it is. So just to see the consistency, right? Here it is. Okay. Concentrate and head grade. So you can see us concentrate. I mean, basically, we struggle to bring it down to 5.5%. So it's sort of this blanket left to its own devices will be doing 6.4% material. So now, so we basically have to tone it down in terms of to sort of adjust it down to 5.5% because obviously, the spec being 5.5% of pricing formula and contract being set to 5.5%, we want to deliver market spec. Our peers are delivering below.
 So we're delivering market spec. But if we left the plant unleashed, you'll be doing 6.3%, 6.4%, 6.0% plus material. So again, this is obviously a function of, the quality of what we got and the quality of the process. So it's the combination. The process preserves the integrity of the particle size. So the product becomes more valuable, because it's large particles, 6.5 millimeters. And therefore, it is more efficient. It's about 30% more efficient downstream than our competitors because purity and particle size, especially in the first phase of chemical refining. So the other mining, the other slide you would like to see is mining cost progression. You can clearly see here. There we go.
 Here it is. Here's the consistency. And it kind of goes back to answering the previous question. I mean, it's counterintuitive. And I completely understand your question. It's counterintuitive. But remember, and this is kind of what my job here is, is to show how counterintuitive this is. Mining isn't the focus. The focus is the plant, right? And there's been incredible consistency on achieving the feasibility level mining costs, right? And so that's kind of what gave us the latitude to think, well, we really have room to maneuver here. We can do differently, right, on environmental sustainability, more biofuels, and on people. We can employ more people by decreasing the number of trucks and absorb all that labor that all those individuals, all the valued members of the community that actually were gone, were driving trucks elsewhere in other applications that can be redeployed here.
 The freight cost to China. Well, we're not paying for freight. This is FOB prices. So we are publishing FOB prices, right? So I would say, today the freight cost is sitting between $65 and $75 a tonne. So they've gone down quite a lot. But we don't pay for them. The customers send the ship, and we actually cash the LCE upon loading the ship at the port in Victoria in Brazil. So our published prices, all of them are FOB Brazil prices.
 So more call on sales and marketing operation. What would be tentative monthly sales volume going forward? And how's the demand side within the spot market at the moment?
 I mean, let me be very clear. Even though we sell spot, we're not hostages to the spot protagonist here. I mean, we're selling spot into very well-known downstream supply chains. So the spot aspect of it is basically the pricing and the sale mechanism. In other words, we are selling into very, very well-known end users. And the end users are starting to pop-up as clients of our clients. So we announce the name of our clients. And their clients, the automakers that are their clients appear because ultimately there's green lithium, triple zero green lithium coming into that line.
 So it's actually a source of pride for us to see our clients' clients appearing. We're now looking into doing 3-month contracts. So again, the mindset here is to preserve the unit to give us flexibility, strategic, downstream, planning to build what we call the basic chemistry potential technical great carbon at all lithium sulfate. So as we look into all these things, we want to keep our units very close to us because they have massive strategic value. So the concept of spot is essentially how we transact it. We got clients here that would do 3-months, 4-months option out a year. So we have that safety of demand to rely upon. Again, this product sells itself essentially, right?
 Another question is in terms of market, you mentioned huge demand versus carrying capacity in near midterm. How about other technologies, sodium-based batteries for the future attract to lithium-based technologies?
 Well, I'm seeing in China, CATL sodium cars, a piece of engineering, but remember they were developed when the prices were on the way to hit $100,000 per tonne of lithium hydroxide, which was unsustainable for the growth of the industry. And that being one of the -- Sigma has been one of the few companies that for 2 years now has been saying exactly that. This industry needs to have discipline to deliver low cost volumes so that we don't hinder ourselves obsolete, right? And we have no qualms in saying that. So it's the technology client that's at the very end.
 If lithium industry loses discipline on delivering supply, pricing, making fair pricing for everyone in the supply chain and so on and so forth, we will render ourselves obsolete. And for sure our end user will innovate somehow. The history of this industry, I've been here like for 10 years, right? I've seen a lot of these battery materials literally rendering themselves obsolete for lack of sustainability, lack of availability, concentrated output, concentrated production locations and all the classic mistakes.
 The energy transition is not going to happen to deliver the same situation we had before with fossil fuels. So the purpose of this is actually to have a widely abundant, low cost and sustainable. And this is kind of why we do believe we are forced for good. We enable that low cost, abundant, sustainable. We're putting Brazil on another geography. So here's another competitive advantage when it comes to our clients. It's another country, new place, geographic diversification, we're there. So it's kind of logic for our clients to purchase this material from us.
 So I do not see sodium sulfate as a threat. I see it as a message. The message downstream sent the industry to be disciplined, to be sustainable, to behave. And the message, I think was taken by most of the industry. So we see the producers doing just that. And it was a good message for the new companies to kind of become producers with that mindset, right? The sodium sulfur car is a very, very low autonomy. And again, I see them having been developed for a purpose, right? To basically show the lithium industry that we are not mighty and alone, we have innovation right at our doorstep also. Even though lithium is critical, it is fantastic. It's the third lightest metal in the periodic table. Technology is technology. And we have incredible clients and they can do incredible things, right?
 So can you please comment on Lithium price frugality among EV material space? Is it a sign of demand weakness or Chinese de-stocking? Well, we need to look at supply very clinically to understand what's going on. The very high end of supply is this unknown element called lepidolite, which is horrible from a sustainability standpoint. I mean, talk about pre-stripping, for every tonne of lithium is 35 to 40 tonnes of waste in the region where it rains a lot. So that waste goes one place and one place only to the rivers. So that is a temporary remedy until the players at the middle of the supply cost can actually deliver more material, which is starting to happen.
 So we see the price receding. Now it's around 35, 30 -- 35 to 30 tonnes towards gravitating towards middle to high. It's not on the ultra-high to make anything feasible but it's getting to a place where it allows for the middle cost producers to be very profitable, but also eliminates the ultra-high cost unsustainable players. So what we're watching in the industry now is that movement of back to normality, where the mid-cost producers, the newer companies, everyone is kind of coming to the table with more material. And you have the very high-end of the cost curve being purged out, because they're going to be priced out of this.
 But to be frank at 35,000 tonnes, quite a lot of environmentally unsustainable lithium is still feasible, which is a sign of demand robustness on its own. I mean, lithium now is priced to perfection to make pretty much most operations out there profitable. Not with the kinds of profits we enjoy sitting at the low end of the cost curve, but profitable to the point of let's deliver this.
 As time goes on and more and more of the middle to low end of the cost curve companies like Sigma sitting right at the low end of the cost curve continue to deliver, we're going to see the prices slowly pulling it back. And that's what we think is our mission to deliver this low cost sustainable lithium, which gives resilience to the industry from to the previous question, rendering itself obsolete, right?
 So it has to be fair pricing. It has to be a level where there are margins across the board. And that's also a message for downstream. I mean, in the previous cycle, we saw downstream capturing all the values and that wasn't very sustainable for the industry for large companies upstream when bankrupt in 2019, 2020. So what we're seeing now is kind of this new cycle coming off cycle. We think in a more responsible way and in a hopefully lessons learned way, right? So I don't see demand weakness at all, quite the contrary. I mean, I see actually critical materials being a hindrance being sort of the bottleneck for demand completely unleashing as far as EVs goes and government incentives goes.
 How about new mining frontiers? Well, I can't speak of new mining frontiers. I just can't speak about the lithium valley and what I see here in Brazil is just phenomenal. There are 3 listed companies already prospecting materials here. So there's an enormous level of excitement with the region. Again, there's very cheap and abundant renewable green power is $0.02 a kilowatt hour. So the focus of the company should be only on Scope 1 and there are different companies doing different things. But so for investors, the region is fantastic, is mining friendly, it's there. The region is mining friendly, which is what matters, right? The country's learning to be mining friendly, but the region is. And that's a big thing because you're basically delivering to a region that embraces it. It's their chance to come out of, horrible levels of poverty. It's their chance in a lifetime and they fully embrace it. They welcome everyone, their companies from Australia, Canada, the United States, lots of foreigners. Everyone's a foreigner basically and they feel incredibly welcomed. The community embraces them. It's amazing. It's just amazing what's happening there. All of you should come visit Hechingen. So, I think Brazil is the mining frontier of the moment.
 So next question, any ideas how we're going to be funding Phase 4 expansion, off-take, equity debt financing, the lot? Well, look, I mean, we produce quite a lot of cash flow, right? So it's essentially more of the same. And if you look at the levels of cash flow we produce, let me put a slide back here so everybody kind of gets refreshed on cash generation.
 I mean, I get questions like, what are you going to do with so much cash essentially? Seriously, right? And so after tax earnings margin, 75%, that's a lot of cash flow, a lot of cash flow. So these line trains here, these are these dense media separation line trains. The initial, the feasibility study indicated they could cost around $80 million each. So it's just math, right? It's internal cash generation and we can leverage. We can leverage any time. It's interesting because we've got quite a lot of financial institutions that want to lend to us, because obviously we're generating quite a lot of cash.
 So we have very robust credit. So there's no shortage of lenders. We feel very comfortable, very, very comfortable cash generation position essentially. So basically here, could you please provide an update on Sigma's strategic? And well, look, we are a financial sponsor-led business. So this is something that can't be forgotten. On the other hand, we understand the value of this company. And I think there's a question here about unlocking shareholder value.
 Unlocking shareholder value just happens by one means and one means only. What we've been doing since day one, defying expectations and delivering, delivering, delivering consistently. We have never missed a milestone. So that's it, right? And in our industry, there's a graveyard of companies that missed milestones and missed everything, over-promised, under-delivered. We tend to under-promise. We tend to under-promise. And that's sometimes a sin. But we like under-promise and over-deliver. So we never miss a milestone.
 And we've been consistently doing it, but not just on one front. We do that in all fronts, on environmental sustainability, on social sustainability. I mean, the company's been overly scrutinized, and here we are delivering on every front. So it's essentially how we see strategic value in strategy, right? So it's a company that's owned by a financial sponsor, but the main focus here is to create value. And the only sustainable source of value is just people, people, like we're filling the ranks of incredible people, which drives execution, because as I said, it's very taxing on people to execute consistently at the speed of what we do.
 So these are the building blocks of value. And everything else happens as a derivative of it, as the ability that we have to continuously deliver, continuously deliver on our promises, right? So this is my answer for strategic.
 And then someone talked about M&A interest. Well, look, we're the most talked about company in this industry. But I would say because we don't promote, because we deliver. I think because we've been delivering, I mean, look, guys, zero carbon lithium, zero carbon lithium. It's in every PowerPoint I've seen. We're the ones doing it. That's it, it's zero. Think about the strategic value of that for this industry, right? So we have talked about because we deliver. And what are we going to do? We're going to continue to deliver. And in our view, that makes us more and more and more valuable on a fundamental basis, because this is a solid business. And generating cash, solid business, that's going to take us where our willingness to deliver takes us, right?
 So trucking costs per mine support is $40. So that's our cost. So very good question. It's a very important point. We're not shipping, so we're trucking. So as we truck, it's $40 a tonne. And so that goes towards, when we talk about the tailings, right? So when you think about the net-net on the tailings, it sits between $310 a tonne and $350 a tonne, depending on the contractor, because there's that $40 of cost. It weighs more heavily on the tailings than on the concentrate, because the concentrate sells for $3,500, right? But that's the only transfer cost we have. Clients send the ships, right, which shows how valuable this is. They come to pick it up, essentially.
 So the question is, why do you believe market continues not to value the company properly? Well, I agree with you. I think part of it is we've been inward focused, focusing on delivery. So now we got this, you know, plant ship shape, delivering dry-stacking, delivering on every front. We're going to go out and communicate that more often, more frequently. It's August in the Northern Hemisphere, everybody's on vacation. But September comes we're just going to go off and about communicating this left and right.
 We're preparing a number of important things. One of those was to lift in the Brazilian stock exchange. In this country, we are darling of the industry. We've become the new paradigm. So we were able to unite federal and state government because we renewed the social license of an entire sector, 2 entire sectors. So we do believe the pension funds, the large institutions in Brazil that were not eligible to purchase Sigma will be a very interesting source of demand.
 The same way our neighbors in Chile enjoyed that kind of baseline investor. August is not summer here. So we're planning, quite a number of investor relations initiatives to kind of go out and communicate that, because we were inward focused, delivering, delivering, delivering. As you go out, it's just, wow, right? We did it. We did it. Because there will be no point for us, no point for us to adjust the plant. And, putting a tailings bond somewhere that is not the reason why we made this investment. That's not the reason why we're here.
 So for us, delivery has to be a holistic delivery on every front, social, environmental, and technical. This is why we made this investment. This is why we withstood the full cycle. So, but I do agree with your question completely, right? We don't think the company is valid properly.
 Now, impacting the future decisions of the asset. People can do math. I think, as I said, the greatest value of this company is it's resilient. We're very large. We have an incredible product and we're going to continue to deliver. So this is the value. This is the intrinsic value. And people can do that.
 So if I, everyone, car makers talk about verticalization. Do you see the supply chain shortened? No, I don't. But I think we see, well, let me, yes, I do. And I don't, let me put it that way. What you see is a greater level of integration. And it's happening. You see GM taking stakes of companies in North America, car makers taking stakes of company upstream. It's fantastic for the industry, especially projects that rely on that credibility to raise further capital to deliver. So we do believe in that. We do believe that there's a level of integration that's going to be unique to lithium because of a whole number of factors that all of you know. So we see downstream very interested in upstream. And that's not just refining. It's the entire chain. Why? And that goes back to the demand question. What we know about demand today, it's just makes us worry zero about it.
 I mean, governments have significant firepower to deploy towards incenting EV demand. Why? It's the quick path to meet carbon targets, Paris Agreement carbon targets for Northern Hemisphere nations. It's a lot slower to upgrade a coal fossil fuels-based electricity transmission grid, electricity generation grid. It takes a lot longer. It's a lot quicker to turn the car CapEx and hit targets on mobility.
 Given the mobility, diesel power in the Northern Hemisphere, it's quite obvious where the sustainability, where the climate action dollars of these green plants are going is just to try to catch the low hanging fruit of transforming mobility into low carbon, green cars, zero emissions mobility, because those are the easy targets. So that way the companies can show progress towards contributing to climate action.
 So demand isn't the issue. The issue is, is the industry ready to bear the demand and without these $100,000 a tonne, crazy price spikes on lithium. So this industry was not ready. That's why we had the price spikes. So what we see now is a level of resilience built on upstream, built on midstream that actually prepares itself for what's coming this decade. I mean, you see the kind of uptake on EV demand. I mean, when we talk to our clients in China, they talk about 50% uptake for new car sales by 2025, '26. These are very high numbers. These are like mind boggling numbers, right? And that's 1 market. We got 2 more markets going.
 So these are levels of demand that in 2018 at the depth of the bear market, when we were here working on this project, doing feasibility in the lot were unthinkable, unthinkable, if someone had told anyone in the industry in '18 that we would have 50% uptake in EVs for new car sales in China by 2025, '26, it would have been, no way, you're crazy. That's what we're seeing today. That's what the clients tell us it will look like in China.
 So Europe's coming very rapidly along. You see 1 in every 4 cars now in Europe. They're very strict government targets hitting in 2025. By 2030, a number of nations in Europe have very strict carbon bans and carbon emission levels. So the only way for this to happen is through demand. So it's there. We see the supply chain not shortened, but integrated with cross-participations with the lot, right? And that's what we see. It's already happening left and right.
 As lepidolite work is a marginal producer at this moment, do you believe this sets a more constructive scenario where auto industry doesn't need to secure material anymore? I mean, no, not at all, not at all, not at all. It's a survival industry for the auto industry. And this is a very important point. That client buying that green car doesn't want to know that every tonne of the lithium generates 35 tonnes of waste, which are permanently destroying land ecosystems and rivers and causing horrific environmental damage. These things are incoherent with the industry. So lepidolite is a temporary gap.
 And let's just be very clear on that, at least as far as Western markets goes. So it's not sustainable for the Western market EV adoption to reach the 50% levels that we're seeing in China, if lepidolite is the answer. It won't happen because the environmental groups are not going to let that happen, right? And Cobalt is a witness to it. We all watched what happened to Cobalt.
 So it's not about the product only. It's about delivering the product with the same ethos of the car. So, and this is key. And the industry's all geared up that way now, which is fantastic, right? So you see a level of concern around sustainability today that 6 years ago are perhaps wasn't as heightened as today, because it's the very existence, the very competitiveness of this car that's at stake.
 When we go to climate conferences around the world, some of the first slides, the opposition to EVs or people who don't think EVs to be even here still are how many years these cars need to drive to clean up the carbon, the extra carbon in the battery because they make it look like the only difference between ICE cars and EV cars are the 40% of the car in the battery, which it's not really, but this is the slides they show. But there's clearly a battery here and not a battery there. And the carbon in that battery is being scrutinized by the very people that do not want EVs to become 100% of the fleet.
 So it's on us to make sure that we break that resistance back to EVs and show that EVs are sustainable across the board. On us, the industry, the critical materials industry, all of us, nickel, manganese, cobalt, copper, lithium, the lot, right? And this is the important thing. So lepidolite is just not the answer. If the industry is reliant on lepidolite to deliver, it will render itself obsolete essentially, right?
 Oh, do you plan on paying dividends to your investors? There you go, that's the cash question. I get that too. No, not yet. We got a lot to do. We got a lot of growth to do. So we do not plan to pay dividends until we have full visibility of strategically where we're going, especially when it comes to what we call basic chemistry downstream. We do not and have not ever said we are going to build specialty chemicals downstream.
 Even at the time, this entire industry was just parroting that away. There are very good people doing this who are better at this than anyone. They're years, decades of experience. What we can do and we're looking into very actively, very attentively is first basic blocks chemistry, which is calcination, lithiation. And that makes sense environmentally. We probably will do zero carbon -- but basic blocks chemicals because calcination can be done in natural gas and powered by, all of it can be powered by clean energy. The waste, I mean, there's a tonne of, every tonne of specialty chemicals generates 12 tonne of waste. Every tonne of basic chemicals generates 12 tonne of waste, toxic waste. We have a plan for the waste. These by-products go to the cleaning products industry, to the cement construction binding industry, both of which are very big and very vibrant in Brazil. So we will do it zero waste. We will do it probably zero.
 So we can do better. So we would only enter a business where we can compete to be the best in the world, to beat the incumbents on sustainability. And this is something we seriously consider on basic chemistry, but never not on specialty chemicals. But that all costs money, so this is the long answer to your dividend question. I mean, there's quite a lot that we're hatching up here. And therefore, until we have full clarity of what the picture looks like with all the line trains, with Phase 4, with perhaps basic chemistry, we don't plan to pay dividends. So dividends will be something for 2026. Maybe 2025, 2026, but 2026 for sure, right?
 Do you perceive near short in this business? Absolutely. Is it a next year issue or next decade how the industry will deal with China's dominance in totally? Well, look, we think there's industry everywhere. I mean, China's a huge market. They need to supply themselves. So that's a big thing there too. So let's not forget the EV market was first and foremost, China, right? Everyone else came later. Now, everyone else are huge too. So you have this giant Western European market and the giant North American market, which is just starting.
 North America is going to blow it away. So the question is, how do we get there sustainably? Because there are different concerns from the customers in these markets. And that goes back to my point about the people like just not the answer. Just forget it, right?
 So that is the biggest challenge in this industry today. How do we do more, more, more of this, more lithium, sustainable, low carbon, zero carbon, no tailings. I mean, all of these variables matter for these 2 giant markets that emerged. I mean, Western Europe and the U.S. So, and that goes across the supply chain.
 In other words, the supply chain has to adjust and that means refining. What refining will look like? I don't know. I don't know. But what do I know? We're going to do our part here at Sigma. Our plan is to eventually deliver the zero carbon, basic chemicals, building block to refining elsewhere to perhaps get to zero carbon too. And so that together with the other critical materials, we can get to the zero carbon battery because that's the holy grail of this industry to deliver a battery that's zero carbon, because that goes into the zero carbon emissions cost.
 So then mobility is reality, right? Electric mobility is a holistic reality. So we're getting there. We're doing our part. And I can't answer your question because I don't have the answer. But I tell you the answers I have, which is we're doing what we can here to go as far as we can prudently and responsibly in a manner that builds an intrinsic competitive advantage, because that's what we got. In any price environment, we're low cost.
 Our product is technically better. It's sustainably unique. There's nothing like this in the market. So that's a competitive advantage, meaning we branded the commodity on sustainability, reality, zero, zero, zero. These are numbers. These are pages on a book, right? So we're very excited about the future here, essentially. Did I answer everything?
 Well, look, gentlemen, I think I answered all of your questions. And there are also tricky questions around strategic movements and strategic initiatives. And I said what I can say. I mean, and what I always say, I control what I can control. We are a company led by a financial sponsor. What people, what others do, what all these interested parties that go to press to talk about being interested do, I don't control. I don't sit in their boardrooms. I sit on this boardroom. And my role here and the technical team, Brian, Caio, Raphael, our amazing team, our job here is to deliver and continue to deliver. That way we build value that we control. This is fundamental, solid value. And it's a company like no other because we're building a product that quantifiably doesn't have a competitor, essentially, which is a huge source of pride for all of us, because it took us 6 years of incredible hard work.
 So I want to thank you for your patience. I want to thank you for listening. I want to thank you for being here until the end. And please send your questions to Jamie, our Chief Development Officer in Canada. We're open to having conference calls, to meeting you one-on-one. We're now going to go out to our focus and talk about all these amazing things our team did. And it's a team, it's a team effort. It's every one of us here has a key piece of contribution to build this company.